Thomas Heath: Thank you, everyone, for joining this Sinch earnings call for the third quarter, 2023. My name is Thomas Heath. I'm Chief Strategy Officer, Head of Investor Relations. And with me to today is our CEO, Laurinda Pang, and our CFO, Roshan Saldanha. With those opening remarks, I'll hand the word over to Laurinda.
Laurinda Pang: Thank you, Thomas. A warm welcome to everyone today, and thank you again for joining our third quarter results. I'll first share some highlights for the quarter before Roshan covers the financial details. I'll then come back to discuss how we're shaping the organization, going forward, to reignite organic growth at Sinch. Sinch is pioneering the way the world communicates. With operations around the world, we support over 150,000 enterprise clients as they engage with their customers. In the past year, we have enabled more than 700 billion interactions via messaging, e-mail, voice and video. For the last 12 months, we have generated SEK 28.5 billion in revenue with 33% gross margin and gross profit of SEK 9.4 billion. Our adjusted EBITDA margins of nearly 13% resulted in SEK 3.6 billion in adjusted EBITDA. Since mid of last year, we have been wholly focused on profitability and cash flow. We have executed well. This is our fifth consecutive quarter of stable gross margins and adjusted EBITDA margins, combined with strong operating cash flow. Our margins have been strong and slightly improving. For the third quarter, our gross margin was 33.5%, up 400 basis points sequentially and up 700 basis points from 1 year ago. EBITDA and adjusted EBITDA margins were 12% and 13%, respectively. Our leverage ratio continues to improve. And this quarter, our net debt-to-EBITDA ratio is 2.2x compared with 3.2x last year. In the quarter, we delivered SEK 862 million in operating cash flow. During the last 12 months, we delivered operating cash flow of more than SEK 2 billion. And after deducting [investments], our conversion rate from adjusted EBITDA was 38% on a rolling 12-month basis. I'm very pleased with our profitability and cash flow performance. And as you've heard me say, we must return to revenue growth. The new operating model we announced a few weeks ago will enable us to reach our ambitions for growth. I'll come back later in the call to discuss this in detail. During the quarter, we were pleased to be recognized by Gartner as a leader in their first Magic Quadrant for CPaaS. Gartner calls out several differentiators for Sinch. Specifically, our global capabilities and geographic diversity bodes well in serving large and global enterprises. Also, our expansive product portfolio is rivaled by very few. This recognition comes on the heels of IDC and ROCCO sharing similar perspective. Focusing on enterprises and helping them innovate to serve the needs of their customers is what we do best. Let's go through a few examples. This quarter, we announced a partnership with AAA. For some of you, this may not be a household name. With over 60 million members throughout the United States, AAA provides drivers with peace of mind, meaning if they require assistance for any reason, an accident, a failed battery, a flat tire, AAA has a fleet of capabilities to assist However, you can imagine this being impossible when in remote areas with no cell phone coverage. If you watched Apple's keynote this September, you will have seen how this works. Even without cellular coverage, iPhone owners can now ask for road assistance using the satellite hardware available in recent iPhones. Sinch's role is to enable AAA to handle this new type of messaging alongside other ways of communicating and to supply the software that AAA staff uses to respond to emergencies. This also builds on a long-standing relationship with AAA, where we already enable their 2-way SMS with automatic responses. Another exciting partnership is our work with Harrods and SAP. A prestigious and globally recognized brand, Harrods has been on a journey to digitally transform its customer experience. With an incredibly engaged customer base, Harrods knew they were missing an opportunity to capitalize on the customer data they were storing in silos and in some cases, to begin capturing data from interactions they hadn't been previously. The objectives here were clear: To deliver a 5-star experience at scale and to grow sales and revenue. In this transformation, Sinch supported Harrods through the integration of their CRM with our contact center solution and intelligent routing capabilities to help deliver the 5-star experience Harrods we're aiming for. Since launch, they have expanded channels to include SMS, WhatsApp and live chat and are now exploring how chatbots and generative AI chat can help to further enhance the customer experience. Collectively, Harrods now has a single view of their customer across all systems from marketing to service. Before handing over to Roshan, I'd like to share a few of the product launches we announced during the quarter. While the use cases I just described are great examples of how we partner with large enterprises, these launches are scaled to product features that will address the needs of thousands of users. Firstly, I want to talk about the improvements made in our Email offering. As you will know, Mailgun is one of the world's best performing and most used e-mail sending platforms. It allows businesses of any size to avoid the hassles of on-premise software deployment and leverage a state-of-the-art cloud service for e-mail spending. Not only does this reduce complexity and cost of ownership, but it also improves deliverability. Since we process hundreds of billions of e-mails each year, we gain data insights that we can leverage on behalf of customers to improve performance. We help ensure that e-mails hit the top of the inbox, the prime inbox, and that they show up instantaneously. So to the recent improvements. During the quarter, we have launched Mailgun Optimize, which is an evolution of our earlier inbox-ready product. Mailgun Optimize led businesses build and maintain their sender reputation, which is a key component to improve inbox placement and e-mail deliverability. It is now tightly integrated with the core Mailgun sending platform and offers advanced monitoring, reporting and visualization. We have also launched Mailgun Validate, which helps businesses verify e-mail addresses on demand to avoid e-mail being sent to faulty e-mail addresses that trigger bounces. This again helps improve center reputation, which in turn improves email deliverability. We have also launched new Voice product that expands our addressable market. With the acquisition of Inteliquent in 2021, we secured end-to-end control of the largest independent voice network in North America. We connect more than 300 billion voice minutes per year and can ensure the shortest possible route without relying on subsuppliers, which ensures highly -- higher call quality at lower cost. But whereas these strengths are valued by customers who handle large volumes and have in-house expertise, Inteliquent was not set up to serve less-specialized enterprise customers or developers looking for self-service capabilities online. Our product development efforts within Voice specifically address these opportunities. This quarter, we launched Elastic SIP Trunking, which is a more flexible way to consume voice calling that scales to customer needs and is easier to integrate. Elastic SIP Trunking is now available for developers via sinch.com. So with those product highlights, I want to hand over to Roshan to go through our financials.
Roshan Saldanha: Thank you, Laurinda, and a very good afternoon to all of you on the call. I will take you through the financials for the quarter. Let's begin by moving to Page 9. Net sales for the quarter increased with 1% year-over-year to SEK 7.2 billion, helped by a currency tailwind of 5%. On an organic basis, net sales in Messaging declined by minus 5% and Voice by minus 4%. We saw growth in Email -- in the Email segment of 7% and in the SMB segment of 13%. We continue to have strong customer intake in Messaging, signing 45 new large business customers in the quarter. However, low volume growth on the back of the economic slowdown around the world, coupled with the change in traffic mix affected net sales growth. In Voice, growth was hampered by lower sales to operator customers, strong performance for number of verification in the comparison quarter last year and the previously announced regulation of charges for American toll-free numbers. However, demand remains strong for Sinch's voice-based number of verification services, which offer a competitive choice for global verification of phone numbers. Let's turn to the next page. Gross profit increased 3% on a reported basis to SEK 2.4 billion. This increase was helped by a currency tailwind of 5%. Looking at the individual segments, we see that the net sales decline is reflected in corresponding gross profit declines for Messaging and Voice. However, in Messaging, we are seeing signs of stability, with gross profit increasing plus 8% sequentially versus Q2 2023 in constant currency. For Email, gross profit increased by 14%, driven by higher net sales and improved gross margins. The gross margin was 77% for the quarter for the Email segment and is mainly driven by the migration of new cloud infrastructure in 2022. In the SMB segment, the American market continues to perform well, with strong growth for SimpleTexting and Sinch MessageMedia. Gross profit increased on an organic basis by 13% year-on-year in the quarter, following the 10% year-on-year growth in Q2. Turning to Page 11, where we show gross margin and EBITDA margin development for the business. Gross margin stability shows the strength in our product and pricing proposition towards customers. We believe we can improve this over time as higher-margin products are growing faster. On an aggregated basis, gross margins improved by 700 basis points over last year and 400 basis points sequentially over the previous quarter. This change is driven by stable margins in Messaging, Voice and SMB, increased margins in Email and higher-margin products growing faster. EBITDA margin continues to perform strongly in the quarter, buffeted by the cost efficiencies achieved, despite inflationary headwinds. The increase in sequential EBITDA margin by 150 basis points over the last quarter shows the high scalability in our business model as the sequential increase in gross profit flows through to the bottom line rapidly. With a shift in the key priorities to growth, we believe that we can use the scalability to deliver higher profitability. The gap between adjusted EBITDA and EBITDA reduced as integration costs declined due to completed messaging platform migrations. On Page 12, we show the strong cash conversion from operating activities and after investments, which Laurinda referred to as well in her commentary. The variation between quarters in cash flow is caused by net working capital. As we have highlighted earlier, there could be large timing deviations between quarters due to payments from large enterprise customers and to our carrier partners ending on either side of a quarter. However, when we look at cash conversion from adjusted EBITDA on a rolling 12-month basis, as is shown in the graph to the right, we see a strong and steady performance. We have generated SEK 1.375 billion in cash flow from operating activities after investments over the past 12 months. Over the medium term, we target a cash conversion in the 40% to 50% range. This cash conversion is currently affected by the higher interest costs as we paid SEK 159 million in paid interest during the quarter, equating to an effective interest rate close to 6%. Despite this, we had a cash conversion of 72% for the quarter. On Page 13, we illustrate our leverage development. Here, we see the leverage ratio, which is net debt over adjusted EBITDA, excluding IFRS 16-related leases. We are glad to report the continued deleveraging, as expected, with leverage now down at 2.2x. The KPI excludes the impact of IFRS 16-related lease debt on both net debt and adjusted EBITDA, and deleveraging continues to remain a focus area for Sinch. We expect this ratio to continue to decline through underlying cash flow generation from operations and increase in adjusted EBITDA. Please turn to Page 18 -- Page 14, where we give details on our debt portfolio. Since we have received questions on this front, we're providing additional information, which is also available in our report. As of 30th September, Sinch had available credit facilities of SEK 12.8 billion. Of this, the company had utilized loans and credit facilities totaling SEK 8.7 billion. We also had cash and cash equivalents of SEK 1.6 billion and generated SEK 1.3 billion from operating cash flow after investments during the last 12 months. We have used this operating cash flow after investments to amortize SEK 1.75 billion of debt in the last 12 months. We maintain an ongoing assessment of our financing options and remain open to the possibility of refinancing all or part of the 2024 maturities, if it aligns with our financial interest. But we are comfortable in the position that we have right now and in the strong cash flow generation from the business. Financial targets. Let's move to Page 15, where we are reiterating our financial targets. Adjusted EBITDA per share, measured on a rolling 12-month basis grew 31% at the end of the third quarter, compared to a target to grow 20% per year. This is a result of our focus on cost control. Net debt over adjusted EBITDA was at 2.2x, a full turn lower than a year ago and well below our threshold. This is something that we continue to see deleveraging happen during the coming quarters as well. With those words, I would like to hand back to Laurinda to take us through the new operating model for Sinch and her closing remarks.
Laurinda Pang: Thank you, Roshan. Okay. So I joined Sinch 6 months ago and have used this time as an opportunity to listen, to learn and to assess our company by talking with customers, employees, ecosystem partners and industry analysts. I'll take a step back to set some context and remind us of a few things. First, we celebrated our 15-year anniversary just a few months ago. We started with a pioneering business model focused on SMS aggregation, solving the communication challenges of wholesalers and large global enterprises. We grew the business organically and inorganically through market and geographic expansion. Importantly, we have been profitable from the beginning, and we are extremely proud of that fact. Pivoting to more recent times, we saw the landscape shift and recognize the evolved challenges of brands to digitally engage with their customers through multiple channels. In late 2021 and within a 1-month period, we closed 3 large acquisitions to round out a comprehensive portfolio that would solve those multichannel needs. We sought out these pioneering companies and their capabilities across Email, Applications and Voice. These three acquisitions alone more than doubled the size of our business. The economic environment was rapidly changing around us, so we did take the decision to operate these as stand-alone entities to protect the value of the acquired businesses. So where do we find ourselves today? We are in a fantastic and growing industry, where Sinch is highly regarded throughout our ecosystem. We have a portfolio of capabilities that brands need and are willing to pay for. We have amazing customers who depend on and trust us, and we have extraordinary talent across the globe. While we have consistently delivered profitably and have continued to generate strong cash flow, our organic growth has indeed slowed. And since I joined, we have been examining how to unleash the power of this collection of assets and how to continue pioneering the way the world communicates. On October 26, I announced an organizational restructure to reignite organic growth. We anchored to a few primary design principles: First, we needed to design around and for our customers, starting with a deep understanding of who are our customers, what problems are we helping them solve and how easy are we for them to do business with. Second, we needed to efficiently leverage the scale of our global organization, meaning eliminating silos and duplication and harnessing domain expertise across the entire Sinch organization rather than individual business units. Starting January 1, the new customer-facing teams will be accountable for supporting all customer segments across the entire Sinch portfolio of services and will be organized by geography. The enabling and corporate functions will be global. We are creating a single-product organization, a single-technology organization and a single-marketing organization, all to align strategy, delivery and enablement for our commercial team. This is a group who will also design and enable an end-to-end customer experience across the Sinch portfolio. The corporate functions will be consolidated to create standards and efficiencies while delivering expert support to their internal clients. They are also the group who will be accountable for modernizing the foundation of our operations. This restructure is about getting closer to our customers. It's about injecting commercial velocity in everything we do, future-proofing our operations and making strategic choices that will inform how we allocate resources to the main opportunities for growth. These changes are complex, and they won't happen overnight, but they are the right changes to unlock value. I look forward to providing more detail next quarter when we have progressed further with these efforts. Sinch has all the ingredients we need to be a world leader. We're now mobilizing the organization to reach that ambition. And with that, we're now happy to take your questions.
Operator: [Operator Instructions] The next question comes from Predrag Savinovic from Carnegie.
Predrag Savinovic: I want to start with the comment around repositioning towards more growth. Does this mean that you will need to take up more underlying costs to achieve this? I mean I can understand there's going to be a one-off tied to this. Or can we expect that you can do this positioning without necessarily growing the OpEx at a higher rate?
Laurinda Pang: Yes, Predrag. Sorry, I thought you were going to ask a second question. So it's Laurinda. As part of this, Clearly, when I talk about efficiencies, we're bringing together a lot of different organizations in going through an actual integration. So we will be eliminating duplication and overlap in that process, and so we do expect to gain efficiencies and synergies through that process. So we do, however, expect to reinvest that back into the business and point our investments to, number one, the big bets for growth, what are the areas that we know are going to outpace the growth that we've seen; and then also to invest in some of the, again, modernization of the operations environment that we work in today.
Predrag Savinovic: Okay. And then another one on the same topic, if you could remind us on the process of integration because given this refocus, you are launching a new organizational structure, I would assume that you are getting closer to integrating your business. Generally speaking, I think that's kind of what you hint that also as you mentioned the centralization of R&D, which would suggest there's -- some other things you said in the closing remarks. So where are we on that kind of timeline?
Laurinda Pang: Yes. So the integration that we've done over the past couple of years have really been more on the messaging platforms themselves in the past. And we do have a couple of acquisitions that are still outstanding, particularly in Latin America. But we have never taken on the actual integration of the operations, the administrative operations within the business. So as you think about finance organizations coming together and different reporting units coming together, there's a consolidation that takes place. But there is work to be done to harmonize and consolidate processes and data and ultimately systems. Same can be said for the HR environment, for the CRM environment. So there is work to be done there. We have been -- really without adding additional OpEx, we have been working on the data structures and the process harmonization work for the last 6-plus months, and we expect to continue to do that work and progress and share with you what those outcomes are.
Predrag Savinovic: That's brilliant. And just a final quick one. What is your idea about hosting a Capital Markets Day or Analyst Day, given a lot has happened in the past 2 to 3 years, you have been in the business now for a little bit, and you're obviously improving the business, generally, from the last quarter, and there are quite a few initiatives in the coming year or so to give us CMD basically? And that's my final question.
Laurinda Pang: Sure. Yes. No, we understand, absolutely. And certainly, that's a consistent request. As we noted, there is a lot of work that's going on. To your point, we're calling out some very specific initiatives, but there's a lot of work underneath of that. And so we're doing a couple of things right now, is to continue to progress that work and identify what are the key metrics and the KPIs and the progress or the mechanisms we will give to all of you to be able to account for the progress and to hold us accountable and also, of course, what are the -- how we're going to measure success. We hear you on the [CMD]. We're certainly in discussions about that, and we will certainly communicate as soon as we've made a decision.
Operator: The next question comes from Akhil Dattani from JP Morgan.
Akhil Dattani: I have a few, please, if I can. Maybe if I can start firstly on cash flow and debt. You obviously had a very good cash flow quarter in Q3. But I guess I was hoping for some help in understanding how you think about the full year. Few opening remarks, you've commented a few times on the 12-month rolling number of about SEK 1.3 billion, SEK 1.4 billion. So I just wondered if that was a sensible proxy for how you think about this year? So any sort of comments or thoughts around Q4 cash flow? The second one is on leverage. As you said, you made some pretty strong strides on deleveraging the group this year, you're down to 2.5x. But if you look at mining consensus numbers, that pace continues and you should, hopefully, end next year at 1.5x. So I just wondered if you could comment on how you think about balance sheet priorities once you get to those sort of, obviously, much more prudent balance sheet levels? And then the very last one is just on organic growth. You've mentioned in your releases and in your comments that comps were tough in Q3, but I'm mindful that comps are a lot easier when we get into Q4. So I just wondered if you might comment on how you think about Q4 growth trajectories?
Laurinda Pang: Okay. Akhil, I'm going to ask Roshan to take your first two questions around cash flow and leverage, and then I'll circle back on the organic growth piece.
Roshan Saldanha: Akhil, so on cash flow and -- obviously, as we've always said, we have a bit of lumpiness in working capital, so Q2 was weak. We said we would see a recovery in the second half. Happy to see that being realized in Q3. On a more midterm basis, I would say that we are aiming to have a cash conversion from adjusted EBITDA of between 40% to 50%. Obviously, this can wear a little bit. But for me, Q4, there's no reason why we shouldn't be able to generate consistently good cash flows with the exception of some lumpiness in individual quarters. So that's kind of where we'll stop it now without giving a specific forecast for Q4. On the debt side, which is your second question, definitely, we're happy about 2.2x. I think you said 2.5, but I think we're at 2.2x in terms of leverage. That's a full turn lower than a year ago, third quarter 2022. We -- again, with the organic cash flow generation and increase in adjusted EBITDA, I think there's good potential for us to continue that journey. And definitely, the level that you've indicated of 1.5 is something that we would be happy to see during 2024. Now the question is what do we do from there, and I think that is a factor as much of what opportunities are available to us at -- and in terms of if those opportunities are financially disciplined and attractive and do add value to our customers and to our overall offering. So I think it's a little bit premature to speculate, but suffice to say that M&A remains and will continue to remain an important part of our overall strategy. So we will evaluate that over time. With that, back to Laurinda.
Laurinda Pang: Okay. Thank you, Roshan. So Akhil, back to your last question around organic growth for Q4. Obviously, I'm not going to give you a forecast for Q4 at this moment in time, but I'll give you a couple of maybe data points and reference points for you to conclude. To your point, Q3 of 2023 certainly was a very tough comp for us. It was a very positive quarter in of itself. And it was really midway of Q4, where we started to see the market change, particularly as it relates to Messaging. So in Q3, this current for 2023, we did see Messaging year-over-year decline on an organic basis at 7%. But we would note that since the second quarter, we've seen organic growth for Messaging at 8%. Now also, we also have to reference the fact that the second half of the year does tend to be a bit better than the first half just because of seasonality, but we were pleased to see the sequential improvement. It gave us a nod towards stabilizing in the Messaging space. The other piece, parts of the business, we'd note that the SMB business accelerated growth, and we're very pleased with that. Email did slow, and we do have a number of initiatives underway. When that growth returns at an accelerated pace, it remains to be seen, but it is certainly something that we're working on. Voice, I would remind you that the 8YY reform continues to impact us from a comp standpoint. So while it ended this quarter, when you look at fourth quarter, you're going to have to contemplate that step-down from 2022.
Operator: The next question comes from Daniel Thorsson from ABG Sundal Collier.
Daniel Thorsson: Yes. Two questions, please. Geographically, can you say something on organic growth rates at the moment and also differences you face out there in the different regions? And then secondly, more specific on the U.S. market and the U.S. tech sector, which you have a high exposure to, we see some lower tech layoffs in the market. We see some positive sales revision, some positive momentum in the sector that was a tailwind for you in 2020, 2021, more of a headwind in '22, '23. Should we expect the U.S. tech sector to be a growth driver for you in '24, you think?
Laurinda Pang: Daniel, thank you for the questions. I'll take part of one and two. And Roshan, maybe you could give a little bit more detail around regional differentiation from a margin standpoint. First of all, to your point, global business, we certainly see market dynamics differ across the globe. Our India market continues to perform really well, in Messaging, very specifically. Our SMB business, particularly around ClickSend and SimpleTexting as well as MessageMedia, is performing extremely well in the U.S. The self-service models across both SMB and Email are performing very well. And then I would also note that the Voice business, which is predominantly U.S.-based, the programmable voice components and some of the verification use cases that are coming through the Voice portfolio continue to perform well. And so we're very pleased with the performance thus far in the Americas. And to your point, I can't comment on the tech sector and what they're doing with regards to their layoff. But certainly, as we look at the strategic accounts in the U.S., they have heard us in the past, they do seem to be performing relatively well at the moment. And we're excited to put this regional structure in place so that we can be more focused in on the local domain and these local markets and these local verticals, quite honestly. The tech sector is certainly being one of them, financial services being another. Roshan, anything to add on the regional piece?
Roshan Saldanha: No. I mean I think Laurinda summarized that quite well. If you look at outside of the U.S. market, I think we have had challenges in LatAm for a while. Again, relative size is important. I mean, the U.S. market is more than half of our total revenues. LatAm is a couple of percentage points or thereabouts. So -- but from a relative price perspective, that continues to be a challenge with Lat Am. But we're seeing, on the other hand, good growth in India, continue to be the case, more or less similar, slightly larger than LatAm in terms of revenue share for Sinch. And Europe as well is performing, I would say, in a stable way. So that's kind of more the regional breakdown.
Daniel Thorsson: Excellent. Can I follow up with a quick final here? I saw in the new organization, Laurinda, that you have recruited Julia Fraser from your former employer, Lumen Technologies, to head up the Americas region here from first of January. What will she bring to the table here? And what did she accomplish at Lumen that you liked?
Laurinda Pang: Sure. Yes. So first of all, she went through quite a rigorous interview process here at Sinch. So it's not just me. I think we had some very good consensus around bringing Julia on board. Her most recent experience at her prior company was all around enterprise transformation and customer success, so she is very much focusing on customers and thinks customer first. She has been through a number of integrations and migrations in her career. She actually started off in software and in wireless, she's got an interesting background there. But even when she was at her most recent prior company, in addition to their just prior role, she also had a variety of functional experience, both in sales as well as access procurements, so dealing with the operators in Europe. I forgot to mention she's global. She's actually British, living in the U.S. right now. So she has supported enterprise customers in different parts of the world. She's also an empathetic leader, a very strong data-driven and high-performance-driven leader with a tremendous amount of empathy. So I think she's a terrific cultural fit. She's got a lot of the experience we need to apply here at Sinch. And the most important piece is as we put ourselves in this journey to be much more customer-centric, she has that domain expertise and that natural bias towards customers.
Operator: The next question comes from Viktor Hogberg from Danske Bank.
Viktor Hogberg: So just a question on Email. The organic growth took a step-down sequentially. You have taken some measures. Could you help us what kind of measures you have taken? And of course, you can't commit to the timing of the effect from those. And also on Email, could you say something about the -- in terms of cross-sell, the down trade, if you would call it that, from SMS to Email now in Q3 in these numbers? And I have a follow-up on that one afterwards.
Laurinda Pang: Viktor, thank you for the questions. First of all, in terms of the initiatives around Email, again, we saw a couple of things happen within Email, one of which is just the buying behaviors of our enterprises, whereby historically, we would have seen some overages charged to customers because they would have expanded beyond their thresholds. The way the business model works in Email is it's not a per e-mail price point or per e-mail model. It's rather a -- what I'm looking for?
Roshan Saldanha: Bundle, bundled price.
Laurinda Pang: A bundle, thank you, a bundle pricing. So you get a certain amount of e-mail for a certain price. Historically, we would have seen more and more customers expand beyond those thresholds and therefore, accountable for overage cost that they would pay to Sinch. We've seen customers change and optimize more of their spend so that they're staying within their thresholds more often than not. That's one aspect. The second aspect is that we have lacked or we saw a slowdown rather in terms of the new net adds, new sales. And the actions that we took was we changed out the salesforce, not in its entirety but certainly, at the leadership level and then some key positions within that team. That leader has been on board now for, I believe, about 3 months or so, and we're seeing some very promising outcomes with the leading indicators in that business, traditional activity and performance management, and we're seeing some nice results. And we're also seeing some very good cross-selling opportunities with our Messaging customers, now issuing RFPs to us for Email and some good enterprise-grade opportunities that we're excited about. And I'm sorry, I didn't really understand your second question, Viktor, something about Messaging and Email.
Viktor Hogberg: Yes, exactly. The affordability of SMS versus Email, if you could see a cross-sell opportunity? I think you have historically some customers going by cheaper Email than SMS. Not the same return on investment, maybe. But in some cases, it is. Just if you've seen that in the context of the slowdown in Q3?
Thomas Heath: Thank you. Thomas here. I think what we've seen over the past year, not really changing from Q3, but during this year, is businesses paying more attention to optimize their spend on communications. However, most businesses will leverage different channels for different uses. And if you think about e-mail, it has some core characteristics. For example, it's searchable, right? It's permanent. So if you have an invoice or you're making a hotel booking long in advanced time, it's very convenient to have it by e-mail, whereas messaging will outperform in breaking through the noise and -- when you're at the airport with luggage in both hands and being notified about a gate change. So there are use cases. We talked about verification before, where you can swap the one for the other. But I think broadly speaking, the different channels have their strengths, their relative strength of different use cases, and that's typically how businesses will use them. We, of course, have a huge opportunity to educate here and to drive more cross- and up-selling within our base because most of the customers we have today have gotten to know just the part of conventional tools are still just consuming and a part of our total product offering.
Viktor Hogberg: Okay. Final question, just potential price hikes. If you're discussing -- or discussing that across the product portfolio, not just in Messaging? That's it for me.
Laurinda Pang: Thanks, Viktor. Listen, pricing is part of our business as usual. It's not an episodic event. It's not something that we plan months or quarters in advance. It's something that we manage on a regular basis. So we do see it across the business, depending on what the market will bear.
Operator: The next question comes from Fredrik Lithell from Handelsbanken.
Fredrik Lithell: Laurinda, if we could again talk a little bit about your new plan and your new sort of the reorganization we are standing in front of and what you do there. I have some, maybe, a follow-up, if you could give us some more color. You talked about accelerating growth. You have the platform for that. If the macroeconomics, if that backdrop is not improving, how do you see the trade-off between your margins and sort of your investments into establishing this accelerating growth? Are there any thoughts around that? And then also, it seems like this is a fairly sizable change you're doing on many levels and includes maybe pulling together platforms and more. Are there any EU charges we should expect, going forward, maybe for 2024? Or something like that would be interesting.
Laurinda Pang: Okay. Thanks, Fredrik. Yes, let me try and take both of these. First of all, yes, it is all around accelerating growth. We did not -- what's important to know is that we did not start with the organizational model change. We actually did -- have been doing a lot of work over the past, I'd say, 3 to 4 months, first, starting with customer segmentation and understanding who our customers are, not just based on what they do with us today and what they spend with us today, but really where were the opportunities for expansion and growth within those customers. So we started there. We moved over to product strategy, product rationalization to understand where we are spending our money, both in terms of development resources, investment in platforms, et cetera, and thinking about how can we harmonize the -- really the duplication of some products that existed within or that does exist within the Sinch portfolio and trying to make some decisions around that. The organizational redesign is an output from that work, right? So starting with our customers, knowing that we need to be more customer-centric but knowing that there's lots of opportunities to become much more efficient and aligned in support of those customers and in support of these commercial teams. As far as the macro is concerned, this work that we're doing inside of Sinch, quite honestly, doesn't have anything to do with the macro, right? It really is about how does Sinch get better at serving the customers. We learned from our customers that they appreciate and are willing to pay for the value proposition of pulling all of these portfolios together, and so we know that we can do that better. We can move faster. We can make decisions faster. This org structure is intended to do that, and we do expect to get synergies and efficiencies. I mentioned that I think in the first set of questions, we do expect to get synergies that we will put back into the company and focus it based off of where the bigger growth opportunities are. We do not expect to sacrifice margins, though, in this process, I want to be very clear. We have been focused on profitability. We will continue to focus on profitability. You've seen our margins expand over the last year slightly. That's as a result of the growth areas being higher margin, right, at the end of the day. And so we expect for -- when we are in this model and when we are settled and starting to execute that we actually will start to see expansion. So that is the intent of this. As far as the fact that these are sizable changes, yes, they are. As far as whether or not we will have charges, et cetera, we are doing that work now, and we will plan to communicate anything. But at this point in time, we do anticipate that the savings and the synergies that we do get through the model that we're able to put that back and invest in the areas that we need to grow.
Operator: The next question comes from Laura Metayer from Morgan Stanley.
Laura Metayer: Two questions for me, please. The first one is a follow-up on the new operating model. Could you give us a sense of how long you expect it will take to implement this new operating model? And when we should expect to start seeing benefits on organic growth? And then the second question is, I read in the report that you mentioned that there is an adverse effect this quarter from a changed traffic mix in Messaging. Could you please give us some more details on this, please?
Laurinda Pang: Laura, thank you. I'll take the first one, and then I'll ask Roshan to take number two. As far as the timing to implement, you're rightfully calling out the fact that this is a large change, and it will take some time. So we plan to be in the structure itself by January 1. There is work going on right now to get us ready for January 1. But once January 1 happens, that doesn't mean that everything is working perfectly, that our sales teams have complete visibility to the entire portfolio or their new customer bases, et cetera. I expect that through the first quarter, a lot of that go-to-market transformation is done. And what that means is territory assignments, quota assignments, customer account assignments, incentive plan redesigns, CRM transformation and visibility, a lot of work and mechanics that need to get operationalized over the first quarter. Having said that, though, we do already know because we started with customer segmentation, we do already know out of the hundreds of thousands of customers that we have, who are the most critical for us to address immediately, who are the ones with the most buying potential and the most potential across products that we need to address initially. And so we will -- it won't be smooth and slick by January 1, but it will be very clear as to who those customers are and what the expectations are of the sales teams that are assigned to those customers. And we will be program managing those very tightly and have expectations clear with those sales teams. That being said, again, very large transformation and organizational redesign. A lot of people are moving managers, are moving customers, are moving the tools that they use to operate in today. So there's learning that has to happen here, and this is a process that will traditionally take 6-plus months. Some would even extend beyond that. But I think what we've said in the press release last week or 2 weeks ago was we will expect to see some results in the second half, but that's really a combination of efficiencies that we can reinvest as well as leading indicators around growth. And then sorry, Laura, your second question.
Roshan Saldanha: So you asked about the comment that we have in the report regarding adverse change in traffic mix affecting both net sales and gross profit for Messaging. What that comment refers to is the fact that we have transaction volumes in the quarter in Messaging increasing by 6% year-on-year, but this is a mix of volume increases in India, which make a positive contribution and kind of sort of having adversely affected by an economic slowdown in the rest of the world. So in India, while we have -- gross margins are comparable to the rest of the world, the revenue per message and gross profit per message is lower than the rest of the world, especially compared to EMEA and North America. And therefore, kind of that mix change, means that revenue and gross profit did not grow as much as transaction volume in the quarter.
Operator: The next question comes from Stefan Gauffin from DNB.
Stefan Gauffin: I just have a question regarding the slowdown in Email. I understand the issue, and I understand that you have initiatives to reignite growth. But could you just comment on when we could expect improvements to be visible? Should we expect this kind of slowdown to continue for several quarters?
Roshan Saldanha: Stefan, I can kind of try to answer that one. As you know, we don't -- we try to stay away from kind of forecasting individual segments on a quarter-to-quarter basis. If you look at kind of -- and Laurinda outlined this earlier, right? I mean we have a number of initiatives. We have obviously made changes on the sales side and the customer success side, where the leading indicators are definitely turning green, but this takes a bit of time before kind of it actually converts to revenues. Then we've always seen pricing, which is again, it's a delicate challenge to hit the right pricing, but it can have more of an immediate impact in terms of customer conversion and on kind of revenue impact. We are also kind of -- Email has a fantastic customer lifetime value, Email customers throughout. And hence, we are also increasing kind of on balance for marketing investment, given the high return on investment that we're seeing in this area towards Email. And that can also have a kind of more direct and earlier impact. And finally, we are making kind of the right adjustments in our product development strategy. So we're putting more product resources towards kind of growth initiatives. If you remember, we did quite a lot of kind of comp migration last year, which consumed a lot of the product resources, and kind of there's some realignment of resourcing towards growth in the Email segment. And that, again, has slightly longer kind of time to realize it, right? So it's a mix. I think our ambition is to get back as soon as possible. I will stay away from kind of forecasting purposes.
Operator: There are no more questions at this time, so I hand the conference back to the speakers for any closing comments.
Laurinda Pang: Thank you to everyone for your questions and for attending today's call. We very much appreciate the interest, and we look forward to continuing the dialogue and sharing our progress the next time we're together.